Operator: Good day and thank you for standing by. Welcome to the Prestige Consumer Healthcare's Third Quarter Fiscal 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the call over to your speaker today, Phil Terpolilli, Vice President, Investor Relations and Treasury. Please go ahead, sir.
Phil Terpolilli: Thanks, operator, and thank you to everyone who has joined today. On the call with me are Ron Lombardi, our Chairman, President, and CEO; and Christine Sacco, our CFO. On today's call, we'll review our third quarter fiscal 2024 results, discuss our full year outlook, and then take questions from analysts. A slide presentation accompanying today's call can be accessed by visiting prestigeconsumerhealthcare.com, clicking on the investors link, and then on today's webcast and presentation. Remember, some of the information contained in the presentation today includes non-GAAP financial measures. Reconciliations to the nearest GAAP financial measure are included in our earnings release and slide presentation. On today's call, management will make forward-looking statements around risks and uncertainties, which are detailed in a complete safe harbor disclosure on page two of the slide presentation accompanying the call. These are important to review and contemplate. Business environment uncertainty remains heightened due to a variety of factors including high inflation, geopolitical events, and supply chain constraints, which have numerous potential impacts. This means results could change at any time and the forecasted impact of risk considerations is the best estimate based on the information available as of today's date. Further information concerning risk factors and cautionary statements are available in our most recent SEC filings and most recent company 10-K. I'll now hand it over to our CEO, Ron Lombardi. Ron?
Ron Lombardi: Thanks, Phil. Let's begin on slide five. We are very pleased with our Q3 performance that exceeded our sales and earnings expectations and added to our strong results earlier in the fiscal year. Net sales were $283 million in the third quarter, up nearly 3% and ahead of our outlook. This performance was thanks to strength in our ear and eye brands in the U.S. and continued strength in our international segment, which more than offset the impact from the strategic exit of the private label business we've previously discussed. As expected, gross margin improved versus the prior year, enabling increased marketing reinvestment. For EPS, we generated $1.06, up 2% versus the prior year. These results translated into robust free cash flow of approximately $70 million, enabling further debt reduction that had us finish the quarter at 2.9 times leverage. We are now within the long-term leverage target of operating with less than 3 times leverage that we outlined back in May. We will discuss the benefits and capital deployment optionality this gives us later on in our remarks. So in summary, our strong Q3 performance built on a solid first half and these results continue to enable robust free cash flow that can drive incremental shareholder value from our proven business strategy. Now, let's turn to page six to discuss the strength in Ear & Eye Care in more detail. Ear & Eye Care is our third largest category on a percentage of revenue basis, representing over 15% of sales. As shown on the left side of the page, this category contains a wide assortment of leading brands, each designed to solve for a specific consumer need. Clear Eyes is a time-tested and proven leader in redness relief and has a long heritage with consumers. TheraTears is well established as a leader in dry eye solutions. For a consumer, it stands for soothing eye relief. Eye drops, ointments, and compresses define the category and help alleviate the discomfort associated with the eyes. And lastly shown here is Debrox, the leading solution for ear care at home and without a doctor's visit. By strategy, we've created a portfolio that gives us market-leading scale in eye care. With the number one position in units across OTC eye drops, we leverage our broad learnings to provide unique insights. These help establish category leadership with both retailers and consumers that enables brand building and long-term growth. There are two examples of this on the right side of the page. For marketing, we continue to drive consumer awareness across TV and digital channels around the benefits of safe and effective eye drops like Clear Eyes and TheraTears. We also continue to invest in digital content, which helps consumer find the eye drop solutions that's best for them. Innovation is also another element to long-term success and generally fits in two categories. First, we established claims which help differentiate products for consumers. For example, our 12 hours of hydrating comfort claim delivers the all-day relief consumers desire. Second, we establish innovation across need states that offer specific solutions consumers seek. Clear Eyes Sensitive Eyes is an excellent example specifically formulated for sensitive eyes. The results of our strategy is a winning franchise that continues to experience solid growth. After certain supply disruptions in fiscal '23, we've returned to growth of over 10% year-to-date and continue to grow in the mid-single-digit range over-time, thanks to these characteristics. With that, I'll turn it over to Chris to discuss the financials.
Christine Sacco: Thanks, Ron. Good morning everyone. Let's turn to slide eight and review our third quarter fiscal '24 financial results. As a reminder, the information in today's presentation includes certain non-GAAP information that is reconciled to the closest GAAP measure in our earnings release. Q3 revenue of $282.7 million exceeded our expectations, increasing 2.6% from the prior year on both a reported and organic basis. North American OTC segment revenues were flat versus prior year, with strength in the Eye and Ear Care category offset by headwinds related to the strategic exit of the private label business and weakness in certain non-core brands. International OTC segment revenues increased approximately 20% versus the prior year, with broad-based strength that included solid double-digit growth for the Hydralyte brand. As expected, EBITDA was approximately flat to prior year, attributable to higher A&M spend, while EBITDA margin was consistent with first half performance. EPS increased 2.2% in Q3 from the prior year, reflecting the benefit of our free cash flow and reducing debt in a more stable interest rate environment. Let's turn to slide nine for more detail and discuss year-to-date consolidated results. For the first nine months of fiscal '24, revenues were up 80 basis points to $848.4 million and grew 1.2% versus prior year when excluding FX. By segment, excluding FX, North American segment revenues were approximately flat while the international segment increased approximately 12% versus the prior year. In North America, the largest category growth drivers for the first nine months were strong Ear & Eye Care and Dermatological category sales, which helped partially offset declines in Women's Health and the strategic exit of the private label business. Year-to-date, we also experienced solid high single-digit year-over-year growth in the e-commerce channel. The international segment performed above our long-term expectations, thanks to strong performance across numerous brands and geographies. Total company gross margin of 55.7% in the first nine months was down slightly versus prior year, owing to challenging comparisons in Q1. This gross margin was as we expected and attributable to cost increases, partially offset by pricing actions and cost savings across our portfolio, which entirely offset the dollar amount of inflationary cost headwinds. For the full fiscal year, we continue to anticipate gross margin flat to up slightly versus fiscal '23 with Q4 estimated to increase nearly 200 basis points versus prior year to 55.5%. Advertising and marketing for the first nine months was up in dollars versus the prior year and flat on a percentage of sales basis at 13.6%. For Q4, we anticipate an A&M rate of approximately 12.5% attributable to the timing of marketing opportunities. G&A expenses were 9.4% of sales in the first nine months, consistent with the prior year. Diluted EPS of $3.19 was up versus $3.14 in the prior year, despite a headwind related to the timing impact of marketing spend and higher interest rates. We anticipate interest expense in Q4 of just over $15 million, thanks to our debt reduction efforts. Finally, our Q3 tax rate was 23.8% and we anticipate a similar rate in Q4. Now let's turn to slide 10, and discuss cash flow. For the first nine months, we generated $175.6 million in free cash flow, up mid-single digits versus the prior year. At December 31, our net debt was approximately $1.1 billion, nearly 90% of which is fixed and we achieved a covenant-defined leverage ratio of 2.9 times, consistent with our long-term objective. Although we anticipate reducing debt through the balance of the fiscal year, our reduced leverage and remaining debt being largely fixed at attractive rates unlocks further flexibility around capital deployment moving forward. With that, I'll turn it back to Ron.
Ron Lombardi: Thanks, Chris. Let's turn to slide 12 to wrap up. We are on pace to deliver excellent full year results and exceed the earnings outlook that we began the year with. We are pleased with this improved EPS forecast that is driven by our proven business strategy and a well-positioned and diversified portfolio. For fiscal '24, we continue to anticipate revenues of $1.135 billion to $1.140 billion and organic revenue growth of approximately 1% to 2% versus fiscal '23 or organic revenue growth of 2% to 3% excluding the strategic exit of the private label business. For Q4, we are forecasting revenue of approximately $287 million, a slight year-over-year increase. This implies revenue for the full-year at the lower end of our original guidance, driven largely by unfavorable FX. For EPS, we now anticipate diluted EPS of approximately $4.33 for fiscal '24, thanks to our strong year-to-date results and the power of our cash flow. For Q4, we expect EPS of $1.14, up high single digits versus the prior year. Lastly, we continue to anticipate free cash flow of $240 million or more using cash flows for deleveraging through the balance of the year. With that, let's turn to slide 13 for a reminder around our business strategy and the long-term targets for financial growth. Even in today's evolving marketplace, our diverse portfolio of leading healthcare brands provide a great starting point that supports predictable, long-term, top-line organic growth of 2% to 3% annually. This level of growth is amplified by our industry-leading cash flows that accelerate this top-line growth into 6% to 8% organic EPS growth over the long-term. Equally important are strong free cash flow and resulting deleveraging creates additional optionality for capital deployment including M&A that can drive significant upside to this algorithm. We continue to assess go-forward opportunities and we have a long history of using our leading financial profile to help drive further upside whether it be buying back stock, paying down debt or doing M&A. We remain confident that our business attributes support this proven formula. We look forward to providing additional details on our expectations for next year on our May call. With that, I'll open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question today will be coming from Rupesh Parikh of Oppenheimer. Your line is open.
Rupesh Parikh: Good morning and thanks for taking my question. So I guess given there's been a lot of concerns just about cough and cold, I would just love to hear your expectations for Q4 for that category.
Ron Lombardi: Good morning, Rupesh. So for starters, the cough cold part of our business is about 7% of revenue, and sales continue to be largely in line with what we anticipated at the start of the year. And Q4, we would anticipate to be fairly close to the levels that we had last year.
Rupesh Parikh: Okay, great. And then just on Women's Health, the business improved sequentially just from a decline perspective. Just your latest thinking on that business and the expectations of getting back to growth there?
Ron Lombardi: Yes. As we said at the start of the year, we anticipated that this year was going to be kind of a recovery and stabilization for the two brands. Monistat is definitely there. It got recovered earlier in the year. And Summer's Eve continues to see improving trends and both of those brands should be in a good position to begin growth for next year.
Rupesh Parikh: And then just for FY '25, I know you guys aren't ready to provide a guidance range, but is there any initial high-level puts and takes that we can think of as we look towards your next fiscal year?
Ron Lombardi: Yes. We finished up the prepared remarks today with that slide that we've talked about for a long time with our 2% to 3% top line growth and mid-single-digit bottom line growth. So directionally, I think that's where you might want to consider starting. And certainly, we'll get into lots of detail on the May call.
Rupesh Parikh: Great. My final question. Just given you guys are in a really good position from a debt paydown perspective, there's only a limited amount of valuable rate to pay down. So it seems like you have a lot more flexibility to actually deliver on the algorithm. So how does your team think about even with the excess cash, maybe even investing more in the business, just given you could even see more accretion going forward for share buybacks. So just trying to get a sense of just the flexibility to invest more in the business because it does feel like you guys have more levers to deliver that 6% to 8% EPS growth.
Christine Sacco: Excuse me. Rupesh, good morning, it’s Chris. So yes, we did talk about continued deleveraging in Q4. But as Ron highlighted, you hit it right on the head as we head into fiscal '25 and beyond, leverage now at 2.9%, right? The remaining debt that we have is largely fixed at very attractive rates. So I think you're going to see increased optionality from us in terms of whether it be M&A, buying back stock and/or continue delevering. We have the optionality to do more than one and we'll look forward to that as we head into fiscal '25.
Rupesh Parikh: Great. Thank you. I’ll pass the line.
Operator: Thank you. [Operator Instructions] The next question will be coming from Susan Anderson of Canaccord. Your line is open.
Susan Anderson: Hi, good morning. Nice job on the quarter. I was wondering if maybe you could talk about kind of the puts and takes in the P&L. That's changed a little bit to raise the bottom line while keeping the top line the same. And then also just on the North America sales ended up flattish. It looks like really nice growth in Ear & Eye Care. Maybe if you could talk about the other categories? And then also I think you mentioned that non-core brands, you maybe saw some weakness there. If you could talk about what brands those were. Thanks.
Christine Sacco: Yes. Susan, maybe I'll start, and then Ron could take the second part of your question. So the Q3 beat was really timing behind a strong international performance. We talk about the nature of that business being a distributor model and sometimes the quarter-to-quarter results could be a bit lumpy, and we did see that. So hence, no real change to our full year outlook. On the bottom line, EPS really helped by a more stable interest rate environment. So as we've said, the power of our cash flow and our ability to delever in fiscal '24 was really offset by the rising interest rate environment. And as we head into a more stable environment, we would expect to continue to see that leverage you've seen in the past from us on the bottom line, as Ron was highlighting earlier, as a result of our capital deployment. I don't know if you want to take the second part of that?
Ron Lombardi: So in terms of performance across the portfolio, we called out the Ear & Eye and International in the release and in the prepared remarks today. Those two areas continue to have a lot of momentum and do well. Over-time, we would expect that the non-core and tail brands would decline. You may get a little bit of peaks and valleys from quarter-to-quarter. So there wasn't anything out of line across the tail part of the portfolio in terms of performance during the quarter.
Susan Anderson: And then maybe if you could talk about or give some color on just what you saw in the quarter on units versus pricing and just kind of your expectations for the rest of the year in terms of volumes versus pricing as those price increases kind of taper off?
Christine Sacco: Yes, Susan. Hi, it’s Chris. So we're still benefiting from certain pricing actions that we took in fiscal '23. We still expect the full year to be split about half from price growth from price about half volume. Year-to-date, we're pretty consistent with that. For Q3, pricing was a little bit less than half, right, as we start to lap continue through the year. We do expect that to continue in the fourth quarter. But I think what's important is unlike some others, our volumes have really remained pretty stable. Last year, we talked about two-third of our growth coming from price, but we still had volume growth. This year we talk about half and half, and the year is proving out to fall in line with that. So it really speaks to the stability of our part of the store and the needs based nature of our products.
Susan Anderson: Okay, great. Thanks. And then maybe one last question. If you could just talk about the cost savings that you have put in place to help work gross margin back, given the inflationary pressures. I guess, have you started to see those flow through the P&L? And how should we think about that as we look out the next few quarters? Thanks.
Christine Sacco: Yes, sure. So we have begun to see the benefit of that. We're up 130 basis points in the third quarter year-over-year. Some of that is price, but less than half. The other half or a bit more is coming from those cost savings you mentioned. We have seen a little bit of deflation on freight, and that started to flow through the P&L in the third quarter and we're calling the fourth quarter, essentially in line with the third quarter in terms of gross margin, still on track for the year to be flat to up slightly. So in line with what we expected as we started this year.
Susan Anderson: Great. Thanks so much. Good luck for the rest of the year.
Operator: Thank you. [Operator Instructions] And our next question will be coming from Jon Andersen of William Blair. Your line is open.
Jon Andersen: Thanks, operator. Good morning, everybody.
Ron Lombardi: Good morning, John.
Jon Andersen: Let’s see anything going on from a channel perspective of note, strength in certain areas, softness in others. And then if you could talk about retail inventory levels and any thoughts around shipments relative to consumption going forward?
Ron Lombardi: So I guess your first question was around channel shift. During the third quarter, it was fairly consistent with what we've seen since the beginning of our fiscal year, which is people are moving around within channels and shopping a little differently as they look for a better price value propositions to deal with inflation. That's really been the most notable impact on the high level of inflation, at least for our business. So those trends have been fairly consistent over the last year or so and nothing different. And again, we have a broad distribution of our brands. So we really don't mind where the consumer chooses to shop. Our products are widely available. And then in terms of retailer inventory destocking, it's been fairly steady for us for the fiscal year. We haven't seen any meaningful net impact on our business so far, unlike other parts of the store and maybe other CPG companies that you're hearing from.
Jon Andersen: I didn't hear. You mentioned e-commerce. I may have missed it. How did the online business perform from a growth standpoint? And where does that sit now as a percent of your total business?
Christine Sacco: Sure, Jon. Hey, good morning. So e-commerce was up high single digits for us in the third quarter. Right now, it's sitting at about 15% of our sales. So it is still nice growth even as we comp some significant growth from prior periods.
Jon Andersen: And I think, Ron, given your comments around just consumers looking for better value propositions, and that's kind of a common theme now, are there any changes on the market share front for your brands? We've talked about kind of organic growth, but not so much share. And are you seeing any change from a competitive standpoint relative to private label in any of your categories?
Ron Lombardi: Yes. In general, we haven't seen any share loss or share shift as a result of consumers moving away from our products to lower priced or private label in particular. So it goes back to the incidents, occasions or our product. If you're in the category once every year, once every two years and you're looking for that trusted brand, it's not the time you take a chance to try something different to save a few pennies. So that attribute we've talked about for a long time as being an important consideration when you think about our brands and our position.
Jon Andersen: Okay. I guess one more. It sounds like just given where you are right now from a balance sheet perspective and continued strong cash generation looking forward, you're probably going to look more aggressively to M&A as a use of excess free cash. I mean, is that accurate? And like, what's on your shopping list? What are you really looking for? What criteria from a category products, operational perspective is important to you as you evaluate M&A opportunities.
Ron Lombardi: Interestingly enough, Jon, there really hasn't been a change in how we think about M&A from two years ago or today, even though our leverage is down meaningfully. We've got a very well-defined criteria of what we look for, like leading brands that define categories that are set up for long-term growth. And that's been the success behind our M&A over the last 10-plus years, and that hasn't changed. So I wouldn't say we're going to be more aggressive. We're going to continue to look for opportunities that fit that criteria. There's a lot of activity out there. It seems like we don't go a week without something showing up. So we stick to what we know will create value for the shareholders over the long term. And I think both in Chris' comments and mine today, it's a reminder that we continue to be very well positioned to create value for our shareholders with our cash flow and our lower level of leverage, whether it's continuing to invest in the business, M&A, delevering even lower over-time, stock buybacks. So we have a lot of optionality to create value. And I think that's the important focus, of which M&A is certainly an important factor of it.
Jon Andersen: Yes, that's a good approach. And I guess, with your free cash flow yield in the high-single-digits, looking at stock as buybacks is not a bad thing either. So thanks for the time. Appreciate it.
Ron Lombardi: Thank you, Jon.
Operator: Thank you. [Operator Instructions] And our next question will be coming from Linda Bolton Weiser of D.A. Davidson. Your line is open.
Linda Bolton Weiser: Yes, hi, Good morning. So I was wondering, just a little more discussion of channels -- distribution channels. I was curious, you don't talk very much about the club channels. And like are you in them and which brands would lend themselves to the club channels? And is that something you'd like to do more of in that channel? And then also same kind of question about the dollar stores. What's your approach there? Which brands are most penetrated into dollar stores? And how are you thinking about those channels? Thanks.
Ron Lombardi: Sure. Good morning, Linda. So club isn't a big channel for us. It's very small. And it's largely due to the nature of our products. If you're sick, think of Monistat, you're not going to buy a three pack like you'd find in the club offering. It doesn't mean that we don't focus for opportunity there. Clear Eyes and BC and Goody's, some examples where we do sell through club that's largely B2B, where the small convenience channel may go in and buy product for resale. So it's more of that end of it than consumer packs. It doesn't mean we don't look at it for opportunities to grow, but just by the sheer nature of our products, it's not an important channel for us. Dollar is, and it's been a nice growing channel for us over-time. If you go into some of the leading dollar retailers, you'll see expanding consumer health care idles where they're looking to expand the branded offering of products that are out there. So we have great product distribution in dollar. That's there with unique pack sizes and count sizes so that the margin in that channel is consistent for us as it would be in any other channel. So we look at it to partner with all of our retail partners to help them be successful. So that's a little bit about club and dollar for us.
Linda Bolton-Weiser: Okay. And just on private label, I know you said you're not really seeing any big shifts or anything regarding market share. But I just wanted to clarify, is it -- I would think it's the case that private label might have higher share in track channels versus non-track channels. But I don't know. Can you confirm that? Would that be the case?
Ron Lombardi: I believe it is, Linda. It probably skews more heavily to the track side of the business. The other thing I'll remind the folks on the call today, right, is our number one job is to have differentiated efficacious products so that when the consumer gets to the shelf, there's something different about our products versus private label or any competitor, so that we're not losing just on price. So that's what we think about when we come to work every day is making sure that we've got the best product out there that meets what consumers are looking for. And that's been consistent over time and why we continue to hold our share, grow our share in the categories that we lead over the long-term.
Linda Bolton Weiser: Okay, sounds good. And then just finally, I wanted to ask, we've been saying a lot about recalls of various eye drop products. Does any of that affect -- is it eye drop or is it cost? I don't know. There's been some recalls. Is any of that benefiting you in any way?
Ron Lombardi: Yes, it's right, the press has reported on eye care eye drop recalls from foreign suppliers for brands you probably never heard of or we'll hear from again, I guess. Over the long-term, I think it's helpful to the branded players and Clear Eyes and TheraTears, in particular, where it just reinforces the importance of staying with trusted brands that you know from companies that you can count on that have disciplined supply chain. Our eye care suppliers are long-term suppliers. We focus on quality product on time, not saving the last penny, no matter where you chase it. So over the long-term, it's both good for our brands and the industry as consumers reminded of the importance of those trusted brands and quality product.
Linda Bolton Weiser: Okay. Thank you very much. I appreciate it.
Ron Lombardi: Thank you, Linda.
Operator: Thank you. [Operator Instructions] And our next question will be coming from Mitchell Pinheiro of Sturdivant. Your line is open.
Mitchell Pinheiro: Hey, good morning. A couple of questions for you. And this is just anecdotal, but I kind of look at the Eye & Ear ever since you purchased TheraTears. And I noticed that category continues to, especially in the drug channel to have real spotty inventory coverage. Is there something -- and I'm not saying it's TheraTears, it's just the entire category of brands and even the private label. Is there anything specific to either the drug channel where inventory levels are low or is it just execution at various drug retailers that make that shelf coverage look spotty?
Ron Lombardi: Yes. So first of all, right, the eye care category in general has been fast growing for quite a while now. So right, with that increasing demand, it over-indexes a bit to the drug channel, right? It's a bit more of a serious condition and people think about it with seriousness. So we see that across our brands that are more serious affliction related at the drug channel over-indexes a bit. And then in addition to that, right, there's some nuances in the eye care supply chain where periodic shutdowns as they do maintenance and other things can put a little bit of a pause in delivery for all the players in there. And we talked about that last year in the quarter ended December, where we had a little bit of a pause in supply. So it can happen to any of the brands. So you put all those elements together, maybe why you go into the drug channel and they may look a little bit short on inventory.
Mitchell Pinheiro: Okay. And then when it comes to -- you look at the gross margin longer term, you're slowly recovering from levels five years ago or more. Are those levels, 57%, 58%, are they achievable longer term or is there something structural? And maybe is it just the math that causes the gross margin to that we won't get back to that level.
Christine Sacco: Yes, hi, Mitch. Good morning, it’s Chris. So there's nothing structural going on within the gross margin. Can we see a pass back to more normalized margins? Absolutely. When you say is it just math, the math is going to dictate the timing. So as we've said in each of these past three years, we have offset inflationary pressures dollar for dollar with cost savings and pricing. But as you mentioned, the math takes the margin part of it a little while to catch-up. So we have line of sight several years out to cost saving measures. We feel good about them and our ability to start to recover margin. We'll talk about in May, but there is certainly nothing structural that would prevent us from doing that.
Mitchell Pinheiro: Yes. And I guess the same question for A&M spend. I mean, it's been very consistent on a percentage of sales basis. Are there any plans for either any changes there directionally on A&M over the longer term?
Ron Lombardi: Yes. Mitch, we'll continue to look to spend more dollars in A&M over-time, right? The percent is one thing, but you put dollars to work, right? You're right check. So as we said, as our gross margin picks up, it will give us an opportunity to continue to look for opportunities to spend more dollars to support the long-term brand building initiatives. Any marketing company should always start with the desire to spend more money. So that's how we think about it.
Mitchell Pinheiro: Right. And I guess last question is just on leverage. So you've come down here below three, seems to be a comfortable level for many investors in the consumer space. And I'm curious whether when you decide on an acquisition or maybe it's share repurchase, but I'm curious whether there's a level of leverage where you don't want to exceed and/or like just -- you would like to be in a spot where you can get back to the below three level quicker than you've had in the past?
Ron Lombardi: Yes. As we've said, we look to operate the business at lower levels of leverage than we had historically, right? For a long time, we operated the business essentially around 5 plus on average as we were smaller than, so when you did a $500 million or $700 million acquisition, it really moved the needle and took a while to get back down. The market has spoken. They appreciate companies with lower levels of leverage, because it derisks you and gives you more optionality over-time. And that was one of the themes that we've talked about not only today, but over the last year or so. So although we don't set a ceiling, right, we want to be able to step back and evaluate every opportunity that may create value for our shareholders, it's our job to figure out how to do it the right way and the way that's appreciated. So never say never. I don't see us operating anywhere near the peak levels we did historically. But it doesn't mean that there might be an opportunity where we pop above three for a very short period of time and then get back into this targeted range of less than three over-time. So directionally, that's how we think about things. But clearly, operating at lower levels of leverage and talking about all that optionality is where we want to be going forward.
Mitchell Pinheiro: Okay. And then actually just one more, just relative to -- you mentioned earlier about there's -- you're getting a lot of -- you've seen a lot of deal books come your way and steady flow. But I'm curious, is there any difference in sort of M&A pricing? Are you seeing any change in small deals versus large deals? Anything you could share color-wise with the flow that you're seeing?
Christine Sacco: Hey Mitch, it's Chris. So really, for the kinds of things that we look at, there hasn't been any change. We do read some of the headlines that you see out there with very large multiples for large deals in very big categories. That's not the nature of the kinds of things that we look at. So we got this question about two years ago when we announced TheraTears, people kept asking us, there was a two handle in front of some of the press on some of the larger deals and we kept saying the pricings remain pretty consistent. TheraTears was done at about 10 times. So really no change in the environment and the kinds of things that we look for.
Mitchell Pinheiro: Okay. Thank you so much.
Ron Lombardi: Thank you, Mitch.
Operator: Thank you. [Operator Instructions] The next question will be coming from Anthony Lebiedzinski of Sidoti. Your line is open.
Anthony Lebiedzinski: Good morning and thank you for taking the questions. So just wanted to follow-up on the International segment, certainly impressive growth there. I know that the Hydralyte is driving that. But just overall, that business has been doing well for the last couple of years. Are you guys doing more business with existing retailers or are you signing on new accounts? I mean, just wondering what's driving that? And then how sustainable do you think that segment is?
Christine Sacco: Hey, good morning Anthony, it's Chris. So we don't talk about it much because we focus on Hydralyte a lot, and Hydralyte did have a really strong third quarter and has been continuing to grow for us, and we expect continued growth in the long-term. But when we step back, our international portfolio is diverse similar to our North American portfolio. And this year, in particular, we're experiencing good growth really across the portfolio. So a number of factors we talk about in terms of sustainability, right? Hydralyte still at about a 10% household penetration, continuing to innovate there, right, similar playbook internationally in terms of product innovation to meet unmet consumer needs, and we see that across the portfolio, opportunities there. So we feel good about the long-term algorithm for the international business, which is growth at 5%-plus. This year, we think we'll be slightly above that, but certainly see a path for that to continue into the future.
Anthony Lebiedzinski: And then so your long-term playbook continues to be 2% to 3% organic growth. So obviously here we've had strong international segment. Do you think you can get back to the North American segment to be within that growth range? And if so, like will it be a reasonable time frame?
Ron Lombardi: Yes. The big impact this year, Anthony, really has been the Women's Health business, which in total is about 20%-ish of sales. So when we get back to growth for that segment next year, that will obviously have a big impact on organic levels of growth for North America. Clearly, the international business has grown way above what we would expect it to be over the long-term. If you get back to the drivers of that 2% to 3% that we had on the last page of the deck today, we would expect the international business to grow mid-single digits, 5%, 6%, 7% over-time, the North American business to grow 1% to 2% over the long-term. So directionally, that's where we expect things to flush-out over time.
Anthony Lebiedzinski: Got you. Okay. And then lastly, so as you look at your brand portfolio, overall, I mean, you have a very diversified brand portfolio for sure. But I know you guys talked about M&A, but I guess conversely, would you guys be open to perhaps divesting any non-core brands or you think they're worth keeping just for the cash flow purposes?
Christine Sacco: Yes, Anthony, we certainly evaluate any offer that comes in on the non-core brands. But as you mentioned, right, these are OTC brands that have good gross margins and don't require a lot of investment because they're non-core. So you're right, from a cash flow perspective, as long as we can get there on the math, we would be willing to divest them. But when the math doesn't work, they're still driving value by driving cash flow that's reinvested into our other brands. So that's how we think about it.
Anthony Lebiedzinski: Understood, okay. Thank you very much and best of luck.
Ron Lombardi: Thanks, Anthony.
Operator: Thank you. [Operator Instructions] At this time, there are no more questions in the queue. I would like to turn the call back over to Ron Lombardi for closing remarks.
Ron Lombardi: Thank you, operator, and I'd like to thank everybody for joining us this morning, and I look forward to updating you further in May. Thank you.
Operator: Thank you for joining the conference call. This ends the call for today. You all may disconnect.